Operator: Please stand by, we’re about to begin. Good day, and welcome to the Glatfelter’s Q2 2023 earnings release conference call. Today’s conference is being recorded. At this time, I would like to hand the call over to Ramesh Shettigar. Please go ahead.
Ramesh Shettigar: Thank you, Allie. Good morning and welcome to Glatfelter’s 2023 second quarter earnings conference call. This is Ramesh Shettigar, Senior Vice President, Chief Financial Officer, and Treasurer. On the call to present our second quarter results is Thomas Fahnemann, President and Chief Executive Officer of Glatfelter, and myself. Before we begin our presentation, I have a few standard reminders. During our call this morning, we will use the term adjusted earnings, as well as other non-GAAP financial measures. A reconciliation of these financial measures to our GAAP-based results is included in today’s earnings release and in the investor slides. We will also make forward-looking statements today that are subject to risks and uncertainties. Our 2022 Form 10-K filed with the SEC and today’s release are available on our website disclose factors that could cause our actual results to differ materially from these forward-looking statements. These statements speak only as of today, and we undertake no obligation to update them. I will now turn the call over to Thomas.
Thomas Fahnemann: Thank you, Ramesh. Hello, everyone, and welcome to Glatfelter second quarter conference call for 2023. It’s a pleasure to be with you today. Throughout today’s call, I will take the opportunity to provide context on several key challenges the business faced during the second quarter as our results fell below expectations. More importantly, I will highlight the outcomes we delivered during the second quarter with our turnaround strategy to address these challenges. First, the prevailing market headwinds and overall macroeconomic environment in both Europe and North America, along with continued customer destocking, resulted in lower sales volume and negative earnings impact of approximately $7 million when combined with machine downtime to manage inventory levels. Second, the team diligently worked to deliver approximately $7 million of earnings to our turnaround strategy with results attributed primarily to price increases and fixed cost reductions. We also experienced two fires, one in Fort Smith, Arkansas and another in our Asheville, North Carolina facility that resulted in an approximate $3 million loss of earnings during the second quarter. I’m thankful for the quick actions of our employees at each site that fortunately resulted in no personal injury or long-term damage to either facility. Glatfelter has benefited from top-quartile safety performance over many years of benchmarking and refinements to our global safety program, and we remain committed to incorporating even more stringent fire prevention measures in the months ahead. In addition, we had another approximately 3 million negative impact resulting from foreign exchange FX, customer financing, and other items. Finally, as part of our portfolio review, we announced the closure of our Ober-Schmitten site in May, following a lengthy but unsuccessful sale process against the backdrop of poor site profitability, given the weak Classin [Ph] and electrical markets. Since that time, the team has been working to fulfill remaining orders while negotiating the balance of interest and social plan with the site’s economic committee and works council, all while preparing to decommission the site. Since announcing the closure, customers have been working to secure alternative suppliers, and we are experiencing high rates of employee absenteeism and turnover. While we continue to manage the operations in this turbulent environment, we have incurred operating losses of approximately $4 million in the second quarter. As I reflect on our performance this quarter, including the positive results we delivered with the turnaround strategy, had it not been for the continued macroeconomic and operational challenges impacting our bottom line, our second quarter results would have been in line with the first quarter of 2023. The turnaround actions that we are taking are now setting the stage for improved profitability as sales volumes return. While our business fundamentals remain quite sound, we are lowering our annual guidance to $100 million to $110 million in light of the market weakness and accelerated deterioration of Ober-schmitten’s financial performance following the closure announcement. I will now turn the call over to Ramesh.
Ramesh Shettigar: Thank you, Thomas. Slide 3 of the investor presentation provides a summary of our second quarter results. Adjusted EBITDA was $17.3 million, or approximately $10 million lower compared to the second quarter of last year. As Thomas just described, the primary drivers were Ober-Schmitten underperformance and negative impact from the two fires. Airlaid material EBITDA was lowered by approximately $2 million, mainly related to the fire in Fort Smith that led to downtime and unexpected maintenance costs. Composite Fibers EBITDA was lowered by approximately $6 million, driven by the negative effect of Ober-Schmitten weaker demand and lower production to manage inventory levels. Spunlace demonstrated EBITDA improvement of approximately $1 million, despite the impact of the fire at Asheville. Slide 5 shows a summary of second quarter results for the Airlaid material segment. Revenues were up 5% on a constant currency basis versus the same period last year, mainly driven by higher selling prices of approximately $12 million on lower volume. The higher prices from contractual costs passed through arrangements, as well as price increases and energy surcharges initiated for customers without such arrangements, fully offset the higher cost of raw materials and energy. Volume was lower by 4% year-over-year, primarily due to weaker shipments in the feminine hygiene category from customers’ inventory destocking, which was partly offset by improved shipments in tabletops, wipes, and home care. Operations were unfavorable by $2.1 million versus the prior year, primarily due to the fire at Fort Smith, leading to downtime and unexpected maintenance costs. Foreign exchange and related currency hedging positively impacted earnings by $900,000, primarily from the strengthening of the euro. Slide 6 shows a summary of second quarter results for the composite fiber segment. Total revenues were up 1% on a constant currency basis due to higher selling prices of $5.5 million, as well as successfully implemented, as we successfully implemented multiple pricing actions and energy surcharges in 2022 to combat inflation. Volume was higher by 3% versus the same quarter last year, mixed was unfavorable, negatively impacting both revenue and margin. Demand was soft in almost all product categories, reflecting challenging market conditions and some negative reaction to our pricing action taken in late 2022. Higher prices for energy, key raw materials, and freight lowered earnings by $3.8 million versus the same quarter last year and were more than offset by the pricing action. On a more positive note, inflation on raw materials and energy improved on a sequential basis, and we expect this trend to continue in the second half of 2023. Operations and other was unfavorable by $5.9 million, driven by lower production to manage inventory levels. Of the $5.8 million year over year EBITDA decline for the segment, $4.3 million was from Ober-Schmitten underperformance as this site is now slated for closure as previously announced in May. Foreign exchange was unfavorable by $500,000, driven by hedging gains from last year. Slide 7 shows a summary of second quarter results for the Spunlace segments. Revenues were down 19% on a constant currency basis driven by lower shipments of 22%, but partially offset by higher selling prices of approximately $2 million coming from actions taken to address inflation. The volume decline was primarily in the critical cleaning and hygiene categories. Critical cleaning shipments were lower in Europe mainly due to market softness, while North America volume was more impacted by production constraints experienced on the converting side by our customers. In hygiene, most of the decline was in the European market where our customers have access to lower cost alternatives, as well as cheaper imports from Turkey and China. We are continually exploring options to improve our cost competitiveness and asset utilization in Europe as these are critical to the segment’s profitability. Raw material, energy, and other inflation were favorable $400,000, driven by lower energy. Operations, FX, and other items were net $300,000 favorable. Actions taken as part of the turnaround strategy to improve operations and reduce headcount created a year-over-year benefit of approximately $4 million. These benefits were offset by the fire in Nashville and lower production to control inventory as a result of weaker demand. Slide 8 shows corporate costs and other financial items. For the second quarter, corporate costs were slightly lower versus the same period last year. Slide 9 shows our cash flow summary. In the second quarter of 2023, our adjusted free cash flow was lower by approximately $10 million versus the same period in 2022. Earnings were lower by approximately $10 million, and cash interest was higher by approximately $8 million. These unfavorable items were partially offset by lower cash taxes as well as from a one-time refund of about $7 million received in Q2 related to the COVID-19 ERC tax credit recovery program. Slide 10 shows some balance sheet and liquidity metrics. Our bank covenant leverage ratio as calculated under the new credit agreement was 3.4 times as of June 30th and we had available liquidity of approximately $145 million at quarter-end. Slide 11 shows our 2023 year-to-date EBITDA run rate normalized for certain items outside our control with those that have been addressed through our turnaround strategy. When adjusting for Ober-Schmitten’s results and the two fires, our first-half performance for the year would have been better than as reported. As it relates to Ober-Schmitten, we are expecting operations to season third quarter and any shutdown costs to be excluded from adjusted earnings thereafter. The EBITDA impact from the fires in Fort Smith and Nashville was approximately $3 million in the second quarter, and we do not expect any cost to carry over into the third quarter. Slide 12 is a summary of our EBITDA and cash flow guidance for 2023. Q2 EBITDA was below our expectations largely due to Ober-Schmitten’s accelerated underperformance that we did not anticipate earlier in the quarter. We were in the final stages of a several months long process to sell the site operations to a prospective buyer with an anticipated close at the end of May. However, all interested party negotiations stalled in mid-May due to market weakness, and we announced the site closure decision at the end of the month. As a result, the on-going operations to wind down Ober-Schmitten will have a continued negative financial impact when compared to our previously stated guidance. Therefore, we are lowering our EBITDA guidance to now be between $100 million and $110 million. Regarding cash flow items, we expect the following. Cash interest of approximately $60 million, which includes the latest projection of interest expense from the refinancing completed in the first quarter. Capital expenditures to be between $30 million and $35 million or approximately $5 million lower than our prior guidance. We expect approximately $50 million of cash usage from working capital and turnaround strategy cash costs combined. This is approximately $20 million higher than our prior guidance and it’s driven by the expected severance costs related to the Ober-Schmitten shutdown and adverse accounts payable impact from shorter payment terms as a direct result of our credit rating downgrade last year. And finally, cash taxes are expected to be between $15 million and $20 million, or approximately $5 million lower than our prior guidance. This concludes my prepared remarks. I will now turn the call back to Thomas.
Thomas Fahnemann: Thank you, Ramesh. As we look forward to the remainder of the year, there are a few highlights that are important to shaping our overall performance in the five remaining months of 2023. First, I’m pleased to share that Boris Illetschko has officially joined the company on August 1st as Senior Vice President, Chief Operating Officer. We previously announced Boris’ decision to join Glatfelter in early April. And while he honoured his termination notice period with his prior employer, he was successful with accelerating the start of his employment with Glatfelter. Boris’ arrival is significant as this completes the establishment of our newly expanded senior executive team. With Boris, we will have an additional talented leader whose sole focus will be to further integrate our global supply chain, commercial, and innovation functions. And he will strengthen our new product management function in its early formation to drive improved financial performance. Given Boris’s extensive background working globally in both operations and commercial functions and having personally worked with Boris in the past, I’m confident he will hit the ground running, and I look forward to his contributions. Second, we must remain focused on managing the on-going price cost gap and striking an effective balance between product price, mix, and volume as the challenging economic headwinds impacting our markets prevail. This is particularly important as we face growing competition, including regions in the world that may not value the same level of commitment that Glatfelter is making to achieve truly sustainable products while improving our overall operations. Our single most important business imperative is to demonstrate an uncompromising partnership with our customers without forgoing profitable margins. This requires us to act with intensity when executing the six key initiatives of our turnaround strategy which the team continues to do exceptionally well. Then finally, but perhaps most importantly, as a leadership team, we are prepared to make any remaining difficult decisions that will improve the trajectory of our financial performance in the months ahead. Actions such as further curtailing operations were needed to balance inventory levels, driving out additional fixed costs, growing sales volume, achieving additional pricing actions that are imperative for us to reach sustainable margins for the long-term, and continuing to assess and shape our overall product portfolio and innovation pipeline with a greater level of financial rigor combined with real-time market insights. As I approach my one-year anniversary with Glatfelter, I continue to believe the company’s full potential has not yet been realized. And I will remain very excited about the prospects of this business as our markets improve over time. Meanwhile, we must stay the course with a disciplined approach that comes with our 201 plan and adjust our real-time actions to confront the current realities of our markets and the industry we serve. My team and I remain committed to doing just this. I will now open the call for questions.
Operator: [Operator instructions] We’ll go ahead and take our first question from Josh Wool with Carlson Capital. Please go ahead.
Josh Wool: Thomas, Ramesh, good morning. Thanks for taking my questions.
Ramesh Shettigar: Good morning.
Thomas Fahnemann: Good morning, Josh.
Josh Wool: I want to start with a few questions on volumes and the de-stocking headwinds, and then I have a few more questions around margins in the quarter, especially trying to flesh out the fundamental performance, excluding the impact of the fires and the Ober-Schmitten enclosure. But starting with volumes, how did your volume performance vary by month in Q2, or at least entering the period versus exiting it? And what picture is emerging of where inventories sit throughout the channel, both at your customers and if you have the visibility at the end retailers as well?
Thomas Fahnemann: Okay, yes. I think I have to go a little bit into detail because it really varies by segment. Maybe if I look at the destocking, the destocking is still going on in the feminine hygiene and the adult incontinence segment. So there, we’re still seeing destocking is going on. In the other areas, I would say it really has slowed down and it’s more demand issue. Now as I look at and go through the single segment, feminine hygiene the volumes month to month is pretty much flat. So if I look at April versus June, it’s pretty much the same. And here the weakness in Q2 was really a combination of destocking and also one of our biggest customer had his fiscal year end in June, so that’s always been a little bit of a weaker, weaker quarter. Adult incontinence, it’s kind of the same picture. And if we look at the really yearly volume, we have one big customer. And there’s also still destocking going on. That was a big kind of when the product was launched back in -- in 2018, 2019, huge volume and it’s going a little bit down, but there’s still some destocking going on. But also here, months over months, it’s pretty much flat. If I go back to the next segment, tabletop food services, I would say that if we look at the month-to-month volume development, it’s increasing, so from April to May, we saw an increase. From May to June, we saw an increase. And that’s kind of also a little bit of seasonality, which we have in this business, because with warmer temperature, it’s outdoor dining, barbecues, and then -- and so we are seeing that now, and the volume is really increasing. What we’re not seeing there is a lot of destocking. I think that’s done. I think we are probably in that area. This is what we are -- the volume we are seeing right now is the real underlying demand. If I go to the wipes business, also the wipes volume month-to-month is relatively stable. And there’s no real ramp-up, I mean relatively flat. And if I go to the home care area here, we are seeing a little decline from month-to-month. And again, it’s very difficult now to predict what Q3 will bring. But if I look at July, I mean, it’s not substantial. But this business had substantial growth during COVID because a lot of people were more concerned and sensitive about hygiene and all this. So, and this business is really from a volume standpoint from 2020 to 2021. And now if I look at 2023 is going down. Coffee, the coffee area, overall demand is the same. What we’re seeing is a little bit of a shift from pads to filter coffee because it’s cheaper. And then this is mainly happening in Europe. And I would also say for the coffee, the destocking effect I think should be done in Q2. We don’t expect anything there in Q3. But however, the pad production, it’s down because more filter coffee and people are more price sensitive and they’re moving more toward the filter coffee. Tea, if you look at the tea bags. Here, we really saw some major inventory build-up in 2022 because the concern of inflation, curtailment, energy. So here we are still in the middle of destocking activities. And so that’s probably still continuing on into Q3. Then the composite laminate area. This is not an inventory issue this is really a demand issue. Consumers are just not spending a lot of money for home improvement as they did during the COVID. I mean, a lot of do-it-yourself projects and all this, and this market has really declined. Then to go to the next segment, wall covering. I mean, the only influence there is really the sanctions imposed on Russia. And Western European market is also I would say on a relatively low level right now and this is in line with our composite laminate area. I mean, there’s not a lot of renovation on new builds going on Then electrical and pasting paper, the thing here is also we don’t think there’s a lot of de-stocking going on. I think that’s already taken care of in Q1 and early Q2, so this is really the underlying demand that we’re seeing right now. Consumer wipes, business is relatively stable. Critical cleaning, we increased our volume there, but this is probably based on our initiative, which I mentioned in our Q1 call, that this is the focus we have, so we have seen, we are seeing first successes here. And the last business I would say our metallized business, sorry, Josh, the metallized business has been relatively stable month-over- month, but overall demand is down in a big way. So that’s kind of, this is -- question is, are they using a different product? But if I also look at the base paper industry, they’re also suffering because of the labeling business. I mean, the labeling business is also down and we are hit as well. So this hopefully, sorry, but I think you really have to look at the single [Ph] segment. So…
Josh Wool: No, the color is actually helpful. And I know the destocking has been an industry wide phenomenon from everything from food, essential consumable products like what you sell. Maybe two more brief questions on the volume side. How much of the destocking in some of your channels is driven by customers wanting to buy at lower raw material prices because you obviously sell some products that are pulp based. Pulp prices have been coming way down, so strategic decisions on the part of customers to wait. And then, the second question is how much is the mix of private label change over the last, let’s call it, year, year and a half, and how has this impacted your margins, if at all?
Thomas Fahnemann: Yes, okay. To your first question, Josh, yes, I mean what we’re seeing is the raw material prices are coming down. The energy prices are kind of, I would say normalizing, although they are not back to where we were pre-inflation. So, customers are sure looking at the following quarter where we have quarterly pricing and what’s happening in the next quarter. Absolutely, I mean this is happening, but this is not a loss of volume. So, we are catching up and it’s always a question of how to kind of schedule and all this. But yes, I mean absolutely right. Customer said I’ll wait until July because I’m expecting July prices will be lower than June prices. So that’s very clear. Your question on branded business, what we’re seeing right now and is that the U.S. is mainly unchanged. The branded business in the U.S. is pretty much what it was the same with the -- with the white label business in Europe. However, we are seeing a shift branded business is losing and non-branded is picking up and that’s probably based on price consciousness of the European consumers, but we haven’t seen that yet in the U.S.
Josh Wool: But I guess your volumes are relatively unchanged by that because you’re selling into both channels, but does it have an impact on the profit margin?
Thomas Fahnemann: Correct, correct.
Josh Wool: Okay, and then moving over to the margin side, I guess I’m going to give you kind of the big picture before I give you my detailed questions. But I’m trying to kind of understand the core margin performance and the trend exiting the second quarter. And maybe the way I’ll ask the question is if I look at Slide 11 and I give you credit for that bridge which is theoretical and I say 52 million of run rate EBITDA, it’s around a 7% implied margin. If I look back to the first half of last year, I think the margin was around, call it 6.7%, So very similar margin and maybe destocking was 7 million, so that would be a 1% impact. So, are we kind of running at 8%? Is that the level we should think about exiting Q2 and entering Q3? And just to have context, if we were at 7% last year and we’re trying to get back to 10% plus to call it historical levels, are we at 8% or are there other things in that bridge that you would point me to?
Thomas Fahnemann: Yes, Josh, I would like to maybe look at it from a different way. If you look at our second quarter performance and the 7 million I mentioned which is really market driven the weak market. So, these 7 million, just the loss of volume was around about 3 million, but the fixed cost absorption which we had was 4 million okay, which we didn’t have actually in last year. So if you add that up I mean that’s 7 million. And this is the biggest issue which were really impacting our earnings year plus the one time or non-recurring issue or issues we have addressed like Ober-Schmitten the vendor financing, we have addressed all that. But this is actually you have to take this into consideration that the fixed cost absorption which we had to -- this is a hit of 4 million, we had to take in order to manage our working capital and our cash. So, to answer your question, I think it’s a little bit higher than that.
Ramesh Shettigar: And it’s getting there, Josh.
Thomas Fahnemann: And it’s getting there.
Ramesh Shettigar: You’re right, we have said that in an ideal situation a business in the nonwoven space with the portfolio that we have should be operating between 10% and 15% EBITDA margins. Now, we’ve been in that zip code before. We’re clearly challenged because of Spunlace and because some of the market dynamics that we’ve seen here recently. But yes, we’re making our way up there very gradually. So what you may have seen 7% last year could very easily translate to 8%, 8.5% this year and then continuing to make progress as we take more cost out as the turnaround strategy traction kicks in, as we have eliminated some of these one-off distractions whether it’s – or the Ober-Schmitten fire or the Ober-Schmitten topic or the fires and so on, this should help become accretive to our EBITDA margin profile going forward.
Josh Wool: Okay, so maybe let’s start from that kind of 8.5% level, but as we think about the cost trends going forward over the last six months, soft wood pulp prices, fluff pulp prices have declined substantially I think both in North America and Europe. So, remind us how much of your cost of sales is raw materials or even pulp, if you can be that specific. And when do you expect to see the full impact of lower pulp in both as it comes into your inventory, but also as it gets reported into your cost of sales? And just because some of the tissue producers that are reporting are starting to see some of that in their margins is recently as this quarter. And I think more of that is going to come in Q3. But kind of remind us what we should expect across both the Airlaid and maybe more composite fibers where you don’t have the pass through.
Thomas Fahnemann: Okay, I mean if I look at pulp softwood and fluff pulp, and it depends a little bit on the product, but the raw materials round about 50% to 55% of COGS, cost of goods sold, okay, an average across the segments. And one of the issues is was -- and we have seen that mean absolutely right, prices are coming down. Unfortunately, I also have to say the gap between fluff and softwood is widening, but it’s now also under pressure. And also fluff pulp was coming down more. But this was a little bit of a time lag. And normally what we have is when prices are coming down you can say it takes us probably two to three months because of our raw material inventory, which we have to keep in all of our sites, to really see the real impact. So, I would say it’s probably eight to 12 weeks then we see it as well. Okay. And question on the pass-through, yes, I mean we have round the bottom be precise in Airlaid, round about 30% is not on the pass-through, and this is mostly the smaller tabletop customers where we don’t have a contract, but they’re buying from us. And so we -- and we are very price -- they are very price sensitive, and we are price sensitive. And this is exactly what you were mentioning before and they are sometimes waiting from June to July and all this. But to answer your question round about 30% is not on a pass-through in Airlaid and round about 50% in CF, where we have to manage month by month.
Josh Wool: Okay. And then maybe similar question on energy, maybe first the percentage of your cost of sales that is energy. I think years ago it was call it 8% to 10%, but that was before the squeeze in Europe gas prices in 2021. So what is it today? And when do you expect the recent declines in energy to phase into margins, for instance, where you get the full impact in Q3, or will it be Q4?
Thomas Fahnemann: I mean, if you look at Glatfelter as a whole and then want to go into the different segments because you see a big difference, I mean, when we started before the inflation, I mean, you’re absolutely right, you were around about at 8%. We went all the way up to 11% during the height of the inflation as a company. And we are down to 9%. So, we’re in the middle, we are not back on where we were, but more importantly, if you look at CF and we have most of our assets are in Europe where we have much bigger exposure to the higher energy price. I mean we are up right still today in today’s world at 14% to 15% despite the fact that energy prices came down. And we were before historically in the range of 11% to 12% and we are still at 15%. Last year we peaked at around about 17% almost 18%. So, again we are going in the right direction, but we are by far not way back to pre-inflation levels.
Josh Wool: Okay, and then maybe kind of stepping back, considering both the pulp side as well as the energy side, assuming that these declines we’ve seen continue or at least don’t reverse, how comfortable are you with the raw material and energy cost levels today in terms of supporting your goals to restore historical margins in 2022, 2024 and beyond, while also meeting some customer expectation of relief on their cost of sales, which seems to be more of an imperative. Just listening to some of the brand owners today even versus a couple of quarters ago.
Thomas Fahnemann: Okay yes, Josh, we have taken all the pricing initiatives back in September, October, November to bring the prices based on the raw material cost at that time to the level which we need. So, and I would say we are -- we are really, really there. The biggest problem we have and what it takes is the market weakness right now. So, whenever the volume comes back and it will come back, it’s just a question of time. And again, I can just say the volume loss of volume cost us from a customer standpoint around about 3 million and fixed cost absorption 4 million. So, we’re talking about $7 million just in Q2. So, whenever that comes back, the margins will be where they need to be, but even now if you look at the details in one of the things. I mean even with some losses, we overcompensated this with pricing. Sorry, Josh, I didn’t want to interrupt you.
Josh Wool: Perfect, I didn’t -- I don’t want to dominate the call. So, I have one final question just to run cash flow. Given that your guidance for working capital includes both the working capital as well as the turnaround cash costs, it would be helpful to know what your guidance implies for working capital spend or generation in the second half or I guess maybe said differently. Slide 9, you have the cash flow bridge. I think if you combine working capital and other, it’s around 63 million of cash usage in the first half. Should I compare that to your guidance of 40 to 50 million with the implication being that working capital will be a $15 million to $20 million source of funds in the second half? Is that the right analysis?
Ramesh Shettigar: Yes. I think you can think about it that way because generally the second half of the year for us is a source of cash and working capital. But then like I said, the two additional headwinds that were calling out this time around in our guidance, which is why this number has gone from 20 to 30, to 40 to 50, which is a 20 million hit, 10 of that is coming from the Ober-Schmitten shutdown and 10 of it is coming from just AP headwinds because of payment terms. So -- but holding -- setting that aside, the way you’re thinking about working capital for the second half of the year versus what you’re seeing now in the first half is correct.
Josh Wool: Perfect. Okay well I’m going to get back in the queue, but definitely appreciate all the color. And I know it was a difficult quarter, but keep on focusing on the things you can control. I appreciate it, guys.
Ramesh Shettigar: Thank you.
Thomas Fahnemann: Thank you.
Operator: Our next question will come from Mike Ginnings with Angelo Gordon. Please go ahead.
Mike Ginnings: Morning, Thomas and Ramesh.
Ramesh Shettigar: Good morning, Mike.
Thomas Fahnemann: Good morning, Mike.
Mike Ginnings: So look, I think a lot of the points you raised on destock are fairly similar to what we’ve heard from materials peers more broadly. I guess I want to contrast that with recent commentary from consumer products companies which seems to suggest that after the last two years of kind of price-lead top-line growth that there’s going to be a bit of inflection of volume led over the next two years. How do you -- what’s the visibility like on those volumes where we’re hearing. And again, this is primarily related to the Airlaid material side. What kind of visibility do you guys have looking out, back half of the year into 2024 on volume recovery off of, putting aside any stock or restock?
Thomas Fahnemann: Yes, I mean, I would -- I would tend to agree with you, Mike. I mean, we’re also seeing some market improvements sequentially. We have been talking about Airlaid, we are expecting volumes in the second half being more and bigger than in the first half. We’re already seeing this a little bit in July, also has a little bit to do with one of our biggest customers has this financial year-end in June. And so historically, July, August is a little bit better and we also -- and that’s really important more for our CS [Ph] business that we are also expecting a better mix in Q3. I mean in our CS [Ph] business is really important, which products are you selling because there are different margin profile. So, we think that -- and our inclined via products are more profitable and have a much better fixed cost absorption than wall cover or the metalized products. So, and we are also seeing and expecting that the inclined wire products are improving in the second half compared to the first half. And for us to be honest right now is really the -- the biggest focus for us is the taking all the inflationary pressures aside. We need to really go back. Like with Josh’s question, we need to go back to pre-inflation margins. So, we are now on our way down with energy prices coming down, raw material prices coming down and we are going to leverage this because we need to also make sure that we are not missing the boat here. So, we need to also be on our toes to make sure that we are -- that we hit the right price. And you’re absolutely right, it’ll be a volume game and not a price game.
Mike Ginnings: Perfect. Thank you. And then maybe one follow up. I just want to make sure I understood your response correctly to one of Josh’s questions. When we were talking – when he was asking about the branded versus unbranded, what is that impact us of a customer, this trade down effect that we are seeing in the market if any?
Thomas Fahnemann: To be honest, for us, it’s -- it’s almost nothing because we are -- we are serving both sides of the equation. So we are serving customers which are providing their products to the -- to the branded business. And we are serving customers who have the non-branded business. So, there’s no big impact for us.
Mike Ginnings: Perfect. Thank you. I’ll hop back in the queue.
Ramesh Shettigar: Okay, thank you.
Operator: [Operator instructions] We’ll go ahead and take our next question from Roger Spitz with Bank of America. Please go ahead.
Roger Spitz: Hi, thanks very much. Regarding the benefit of lower pulp prices, will you see -- I mean eventually see all the benefit? Or has there been any change in sort of your contracts with some of your customers where you will not be able to see that benefit as pulp prices fall?
Thomas Fahnemann: We’ll see the benefit. No changes to the negative in our contracts. We will see the benefit. But as I mentioned, there’s a little bit of a time lag, but other than that we will see the full benefit of that.
Roger Spitz: Perfect. In terms of the cash flow guidance, I just want to make sure. So, the 2023 cash restructuring and closure costs are all in the 40 million to 50 million of working capital and cash restructuring which -- and there are no other cash items which then implies that the midpoint of the range OCF was CapExs negative 50. Is that the right way or there are other cash items cash items [Indiscernible] 
Thomas Fahnemann: No, you have it exactly right, Roger. It would be a negative 50 of a net cash flow.
Roger Spitz: Perfect. And can you -- last call, you spoke about potential divestiture or monetization of any non-core assets that might be coming sooner rather than later. Perhaps you mentioned the prepared remarks, I didn’t hear, but can you give us any update if you haven’t mentioned?
Thomas Fahnemann: Sure, Number one, I mean again at that time we were trying to really divest Ober-Schmitten closure costs. And as Ramesh mentioned and I mentioned earlier, we -- we got pretty close, but unfortunately it didn’t work and that’s why we had to kind of make the decision to shut the operations down because this is for a long time losing money and Ober-Schmitten closure costs. The market is not even getting worse, so this -- this makes no sense, so to wait. So, all there’s another business where we might think about it, but today is not the right market to do that to be quite honest. We are not under pressure. So, we would like to really make sure that we are not rushed into anything. So we have another asset and again very minor, not changing kind of the overall company. So, it’s really some assets on the periphery, on the periphery of our businesses, not really core, but right now to be honest is not the right time to do that and that’s why we kind of put these activities to pause. And whenever the market comes back, we’ll be back on there and working on that.
Roger Spitz: Got it. And in terms of the overstatement and the Ober-Schmitten the lingering cash impact now, maybe some of that’s in your revised EBITDA guidance, maybe some of that is in your working capital and other cash flow item outflow of 40 million to 50 million. But you gave the Q2 number. What do you expect to see in the next few quarters-dollar wise for that wind down of Ober-Schmitten?
Thomas Fahnemann: Yes, I mean, so Roger, yes, you are right. The total impact of the cash costs related to the shutdown is reflected in our -- in that working capital and turnaround strategy. Cash cost guidance. This is the point we’re trying to make, which is we had call it $4.3 million worth or roughly $4 million worth of negative earnings coming from Ober-Schmitten in the second quarter. We’re going to be in a wind down here for, the next quarter or so. We’re hoping to cease operations in by the end of the third quarter. And we still have not just the losses coming, but then as part of the wind down monetization of the assets, there are some water wells there, there’s inventory and all of that that we need to clear out and try and monetize to reduce the -- the net financial impact from this deal. But we’re hoping that with ceasing operations here in the third quarter, we can stop the bleeding, along the lines of what we saw in the -- in the second quarter. And then by the fourth quarter we’re just finishing up any last orders and then we shut the place down. So, still a bit of a moving target. Roger, I will say and we’re taking all of that into account when we are bringing down our overall guidance for the year. So, you can kind of do the math right. If year-to-date, we’ve lost about $6 million from Ober-Schmitten and I’m bringing down my guidance by 10, that should give you a rough idea of how much more is left to go on the P&L side in our view.
Roger Spitz: Okay, so that -- and that’s probably all of the sort of shut down, shut down costs or net or I should say net shutdown costs because you have some assets in inventory to sell. That’s the way to think about the cost of shutting this down. Well, that’s good, great. That’s it, thank you very much.
Thomas Fahnemann: Okay.
Operator: Well now take a follow up from Mike Ginnings with Angelo Gordon.
Mike Ginnings: Hey guys, just one last point on the fires, first glad to hear there was no injuries. Was there any damage to the facilities or be any knock-on impact in Q3 or future quarters, be that either positive from insurance proceeds or negative from kind of increase impact on sales or repair costs?
Thomas Fahnemann: No, no, nothing, Michael. I mean what happened, I mean it’s bad that it happened, but thanks God we were -- we have systems in place. So, we had a couple of little damage. We had downtime and all that, but it’s all done and this is the 3 million, No spillover, no insurance, all that it was below the deductible and all that. So, that’s all taken care of and you should not see anything there.
Ramesh Shettigar: And we have fire suppression systems and so on. So, there’s no -- there’s no damage to the facility. And it’s all repaired, it’s all done.
Mike Ginnings: Excellent. Thank you.
Operator: It appears there are no telephone questions. I’d like to turn the conference back over to our presenters for any additional or closing comments.
Ramesh Shettigar: Well, thank you for participating on our second quarter earnings conference call. We’ll speak with you again next quarter.
Thomas Fahnemann: Thank you.
Operator: And once again that does conclude today’s conference. We thank you all for your participation. You may now disconnect.